Operator: Welcome to the DT Midstream, Inc. fourth quarter and year-end 2024 earnings call. I will now turn it over to our speaker today, Todd Lohrmann, Director of Investor Relations. Please go ahead.
Todd Lohrmann: Good morning, and welcome, everyone. Before we get started, I would like to remind you to read the Safe Harbor statement on page two of the presentation, including the reference to forward-looking statements. Our presentation also includes references to non-GAAP financial measures. Please refer to the reconciliation to GAAP contained in the appendix. Joining me this morning are David Slater, President and CEO, and Jeff Jewell, Executive Vice President and CFO. With that, I'll go ahead and turn the call over to David.
David Slater: Thanks, Todd, and good morning, everyone, and thank you for joining. During today's call, I'll discuss our 2024 accomplishments, provide an update on our organic growth projects, our recent Midwest pipeline acquisition, and our outlook for 2025 and beyond. I'll then close with some observations on the overall gas market before turning it over to Jeff to review our financial performance and guidance. So with that, 2024 was another strong year for DT Midstream, Inc. I'd like to commend our employees for their continued dedication and commitment to excellence, including their exceptional safety performance, finishing the year with zero OSHA recordable safety incidences. Very well done, everyone. I'd also like to welcome to DT Midstream, Inc. all the new employees that joined the team from One Oak following our Midwest pipeline acquisition. These professionals have strengthened our organization with their deep expertise in operating FERC assets. Turning now to our financial results, we delivered adjusted EBITDA of $969 million, which exceeded our increased guidance midpoint and was another record high year, extending our track record of 10% compounded annual growth since we spun the company in 2021. At the end of the year, we closed on the acquisition for OneNote, expanding our FERC interstate natural gas pipeline network. The transition of these pipes to DT Midstream, Inc. has been resting well, and the team is busy integrating these assets into our network. On the construction front, we had solid execution of projects across our footprint, on schedule and on budget. Our Haynesville construction team placed several key growth projects into service, enhancing both the supply and market connectivity of the network. We also placed our Ohio Utica system into service with our anchor customer noting the resource there continues to meet or exceed expectations, providing confidence in the premium quality of this resource play. We look forward to further expansions of the system as well as potential downstream opportunities as they increase their pace of development. On the commercial front, our team advanced many opportunities from our backlog into full development. We reached FID on a LEAP phase four expansion in the Haynesville and added new producers to the network. Expanded our Stonewall and AGS systems with a new Mountain Valley Pipeline interconnect, recontracted nearly 20 DCF of capacity at our gas storage complex with overall longer terms and attractive rates, and added our clean fuels gathering project. We continued our disciplined financial management, prioritizing a strong balance sheet with our goal of achieving an investment-grade rating. We were upgraded to investment grade by Fitch in October and expect to be upgraded by at least one of the other two rating agencies in 2025, having positive outlooks from both S&P and Moody's. So I am very pleased with our overall performance during 2024, despite some significant macro sector headwinds, including depressed natural gas prices causing producer slowdowns, a pause in approval of new LNG export permits, and an uncertain political environment for much of the year. The team has proven time and again their ability to execute on commitments regardless of the broader environment. So I'm excited about the future and our team's ability to deliver on expectations. Turning to 2025 and beyond, we are very well positioned to serve growing demand across our footprint and continue our track record of premium high-quality growth. 2025 is presenting a more constructive environment in terms of pricing and overall natural gas market sentiment, making it an opportune time to capitalize on commercial projects. This morning, I am pleased to announce two new projects that will serve utility-scale power generation. The first project is off of our newly acquired assets, where we will be constructing a lateral or Midwestern gas transmission to AES Indiana's Petersburg power plant, which is currently being converted from coal to natural gas. The lateral capacity will be approximately 300 million cubic feet per day, and construction is currently underway with an expected in-service date in Q1 of 2026. The second project is off of our Stonewall and AGS system. We have signed a precedent agreement with an experienced power generation developer to serve one of their new power developments, a 2,060-megawatt combined cycle gas serve and power plant in West Virginia under a 20-year firm service contract on our Stonewall and Appalachian Gathering Systems. The project is subject to our customer reaching FID on the power plant, which we expect to occur in 2026. Our expected pipeline in service is late 2028. These are the first two projects to be commercialized out of our robust backlog of opportunities to serve power demand growth. Subsequent to the acquisition for One Oak, we have updated our overall project backlog, increasing it by approximately $1 billion to $2.3 billion over the 2025 to 2029 time period. The $2.3 billion represents our high probability organic growth opportunities. This project backlog can be fully funded within our cash flow and supports our 5% to 7% long-term organic growth rate, with pipeline projects comprising approximately 70% of the total opportunity set. Finally, I'd like to take a moment to address the natural gas market fundamentals. We are seeing strong structural demand signals across our assets. Cold weather has rebalanced the North American market, strengthening natural gas prices. This January and February, our store complex experienced all-time high record withdrawals, and many of our pipelines experienced peak day conditions and are flowing at record high utilizations. New LNG terminals are ramping up capacity, and power demand growth expectations continue to remain strong. In addition, we have seen a pendulum shift in public and political sentiment around the importance of natural gas being a foundational fuel to drive the American economy and to support our allies around the world. This could be a fundamental turning point, ushering in a new era of investment in natural gas infrastructure as a nation more clearly appreciates its role in delivering an affordable, reliable, domestic, clean fuel to serve growing power generation and industrial onshoring demand. I believe these fundamentals will provide tailwinds across our asset portfolio. Our Haynesville system, with its leading connectivity to both supply and demand markets, is exceptionally well-positioned to capitalize on these strengthening trends. We expect that LNG demand that can be served by our Haynesville system will grow by 12 Bcf per day within the next decade, and basin supply will increase by a similar level, strongly positioning our integrated systems to serve the supply and demand for the foreseeable future. Industrial and commercial onshoring is another quickly developing theme that we believe our assets are well-positioned to serve, as much of this demand is forecasted to emerge across our asset footprint in the industrial heartland of the country. We need to increase utilization and expansion opportunities for our pipelines. Turning to power demand, our assets are strategically located to capture future growth in utility-scale grid-connected electric generation demand, with our new Midwest interstate pipeline assets serving utility customers with ample coal-to-gas switching opportunities and our storage complex providing these customers with balancing services. In addition to grid-connected power demand, we continue to advance our behind-the-meter data center projects. We are engaged with many developers whose proposed projects sit on top of or adjacent to our assets. While these projects are still being developed, we expect that DT Midstream, Inc.'s opportunity will come in the form of pipeline laterals to serve these facilities, with the potential for mainline expansions to follow.
Jeff Jewell: So with that, I'll pass it over to Jeff to walk you through our financial results and outlook.
Jeff Jewell: Thanks, David, and good morning, everyone. As David mentioned, we delivered overall 2024 adjusted EBITDA of $969 million, an increase of 5% over the prior year, supported by our pipeline segment's 7% growth year over year, which was driven by new LEAP expansions and higher storage revenue. For the fourth quarter, we delivered overall adjusted EBITDA of $235 million. Our pipeline segment was in line with the prior quarter, driven by increased seasonal demand at our storage facility and on our JV pipelines, offset by transaction costs related to our Midwest pipeline acquisition. Our Gathering segment results were $6 million lower than the prior quarter, driven by producer deferrals of production to Q1 of 2025 and a key producer customer unplanned outage resulting in lower Haynesville volumes. Operationally for the quarter, total gathering volumes across the Haynesville averaged just above 1.4 Bcf per day, down from the third quarter, driven by the deferrals and the key customer outage I previously mentioned. Volumes in the northeast were flat quarter over quarter. In 2025, volumes appear to be responding positively to the improved natural gas price environment, with Haynesville volumes averaging 1.6 Bcf per day thus far in the year. Now moving on to our financial outlook for 2025 and beyond. As we have done in the past, we are providing the current year guidance as well as an early outlook for next year. For 2025, our adjusted EBITDA guidance range is $1.95 billion to $2.155 billion, representing 18% growth from our 2024 original guidance. Our 2026 early outlook range for adjusted EBITDA is $2.155 billion to $2.225 billion, with the midpoint representing a 6% increase over the 2025 guidance midpoint. Our adjusted EBITDA guidance for 2025 and 2026 is supported by the incremental contribution from our growth investments, including the integration of our recently completed Midwest pipeline acquisition, as well as expected activity from our major customers. Longer term, we continue to target adjusted EBITDA growth of 5% to 7%, which is supported by our $2.3 billion organic backlog advantage, asset positions, strong balance sheet, and our high level of take-or-pay contracts. Our 2025 growth capital guidance is $400 million to $460 million. For 2026, we expect the level of growth investments to be in line with 2025. We currently have approximately $60 million of committed spend in 2026 and are working to advance a number of organic growth opportunities to FID. Our board has declared a quarterly dividend increase to $0.82 per share, which represents a 12% increase. This increase is supported by our higher adjusted EBITDA following the Midwest pipeline acquisition and its larger opportunity set and earnings base. Our approach to the dividend has not changed, as we plan to continue to grow it annually in line with adjusted EBITDA growth, and we are committed to maintaining a coverage ratio above our two times floor. From a balance sheet perspective, we are pleased with our positioning on leverage and progress toward obtaining an investment-grade credit rating. As David mentioned, we received positive reaction from the rating agencies following our recently completed Midwest pipeline acquisition. We are on positive outlook with both Moody's and S&P, in addition to Fitch's investment-grade rating. Our debt maturity profile has a weighted average maturity of approximately seven years, and we are forecasting 2025 year-end on-balance sheet leverage of 3.1 times and proportional leverage of 3.9 times. We continue to execute our plans we have shared with the rating agencies and expect to be upgraded to an investment-grade credit rating in 2025. Our cash flows continue to remain strong, funding our growth investments, and we continue to expect to be minimal cash taxpayer until 2028. And with that, I'll now pass it back over to David for closing remarks.
David Slater: Thanks, Jeff. So in summary, we are highly confident in delivering on our full-year guidance for 2025 and early outlook for 2026, continuing our track record of strong performance. Looking forward, the market fundamentals supporting our pipeline business are very positive. It certainly feels like we are entering the golden age for energy infrastructure investment. Our pure-play natural gas pipeline asset portfolio is very well-positioned to take advantage of this opportunity, with their integrated assets providing critical capacity to premium and growing demand markets. We continue to remain laser-focused on advancing our sizable organic project backlog, delivering long-term value creation to our shareholders, and supporting a reliable growing dividend. And with that, we can now open up the lines for questions.
Operator: Thank you. We will now begin the question and answer session. If you have dialed in and would like to ask a question, please press star one on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your question, simply press star one again. If you are called upon to ask a question and are listening via loudspeaker on your device, please pick up your handset and ensure that your phone is not on mute when asking your question. Your first question comes from Michael Blum with Wells Fargo. Please go ahead.
Michael Blum: Thanks. Good morning, everybody.
David Slater: Good morning, Michael.
Michael Blum: So before I definitely want to ask about the two new projects, but before I do, just want to level set. You have been, I think, before talking about six or more lateral data center-related projects that you have been pursuing. I thought those were behind the meter. So I guess the first question is, are the two announcements today front of the meter in addition to those, or are those part of what you've been pursuing?
David Slater: No. Those are new and in addition to meter opportunities, Michael. So these I would call these utility-scale, you know, direct utility-scale power generation opportunities.
Michael Blum: Great. Perfect. And then on the projects, I'm just wondering, on the Midwest and Appalachia projects, anything you can give us in terms of CapEx, expected returns, and then for the Midwest project, what the length of the contract would look like. Thanks.
David Slater: Yeah. I'd say we'll start with the one off Midwestern. We're going to build a relatively short lateral over to this facility, and the customer is committing to term firm capacity on the mainline. We'll build this under a blanket authorization, so that'll give you a sense of the capital size here. It's, you know, fairly modest from a capital perspective but layers on a really nice long-term load onto the network that we're really excited about. And, you know, this transaction happened literally right out of the gate with the new assets. So no, I'd say we're really pleased, you know, two months into it with how we view these assets coming into the portfolio and the opportunity set that they're gonna provide, and that's all reflected in the increased backlog that we've disclosed to the shareholders today. If we switch over to Appalachia, that project's been in the works for a number of years with a large power developer. It's in the PJMQ. It's also been through the West Virginia PSC process. It'll hang off of the Stonewall system and have burn capacity across the entire network, our gathering network, Stonewall, and Appalachian Gas gathering system. And again, it's, you know, they haven't FID-ed the plant yet, so they expect to do that early next year. And then we would commence construction to serve that plant. And again, that's a long-term contract, a 20-year contract with a brand new combined cycle power plant that sits in a really nice spot inside the PGM system.
Michael Blum: Thank you.
Operator: Your next question comes from Theresa Chen with Barclays. Please go ahead.
Theresa Chen: Morning. For the broader updated $2.3 billion backlog, can you just remind us your expected returns and any sort of, like, economic terms on beef as well as the process that you're pursuing from here?
David Slater: Sure, Theresa. Yeah. I think we've pretty consistently been sharing five to eight times multiple in terms of proxy for returns on these projects, and nothing has changed there. So obviously, we're trying to get the lowest multiple possible on all of our projects, but I think that band is a good calibration for the investors in terms of how we view our capital deployment. And the two projects that we announced today comfortably fall into that band.
Theresa Chen: Got it. And on the macro front, on the heels of the weather tailwinds, the LNG speed gas ramping higher, the drawdowns of inventory, better pricing as a result, based on your conversations with your producer customers, what are your views on the pace of production recovery across your footprint from here through the remainder of this year and into next? Maybe just, you know, kind of asking what does the near term look that's analogous to slide twenty eight?
David Slater: Yeah. Well, why don't we just talk about this year because I'm not sure that many of the public producers are even talking about next year yet. So I think the way to think about it for our guidance is we are expecting to see Haynesville volumes ramp over the year in our portfolio, and I think Jeff mentioned it in the call this morning in his remarks that we're already seeing a ramp from kind of the exit rate in 2024 to where we are today. And then we're expecting Appalachia volumes to be relatively flat across the footprint. You know, it's different by system. We have four different systems in Appalachia, but generally, Appalachia looks about flat across the year embedded in our 2025 guidance. So that's kind of the feedback we've been getting sort of at the end of last year from our producers. There's been a lot of fundamental changes in the market over the last few months, and I alluded to some of those in my opening remarks. So, obviously, we're gonna work closely with our producer customers to see if they're going to adjust their plans or not as they kind of look forward at the gas markets and the pricing for the balance of this year and next year. But I'd say just generally speaking, it's been a very positive shift in sentiment around natural gas and their feelings around their business as a whole. But I do think, especially for the publics, they want to give a little time to make sure that that pricing remains intact. And that's just my sense of the multiple conversations we've had with all of our producer customers in our gathering segment.
Theresa Chen: Thank you.
Operator: Next question comes from Spiro Dounis with Citi. Please go ahead.
Spiro Dounis: Thanks, operator. Good morning, everybody. Wanted to go back to the capital plan quickly, David. I think you referred to these projects as highly probable. And so just curious if you could give us a sense of the magnitude of the projects maybe sitting behind what was announced today, and how much room you think there is to add to this backlog while staying within your free cash flow? And the second part of this question is just want to make sure, have you assumed that some of these data center projects are in that $2.3 billion, or would they be additive?
David Slater: Yeah. Good morning, Spiro. Great question. Maybe I'll start at the highest levels, and I'd say now that we've closed the acquisition from One Oak, that opportunity set, which has come to us through that acquisition, is more significant than we thought when we originally announced the transaction. So there's quite a backlog of opportunities that are presenting themselves around those assets, and that's reflected in our backlog, and in particular, is reflected in the fact that 70% of that backlog is sitting in the pipeline segment, which we love because it's high-quality projects. The one that we just talked about this morning is sort of the first of a series of projects that we're working on there. In addition, the modernization opportunity set that we envisioned pre-close is even more robust than we thought post-close. So that investment opportunity is in the backlog and is very significant versus maybe the last time we publicly chatted to the investors pre-close. So giving us a lot of confidence in that backlog, and you kind of said it, Spiro, it's this is a probability-weighted backlog that it's not the gross number. It's the highly probable number. So there's a significant set of opportunities in addition to what we've just disclosed that I think over time, as we work on them, they could get pulled into the backlog. So I'm really optimistic about the opportunity set in front of the company right now. We've got really favorable sentiment right now in the market, both on the regulatory front and on the political front and in the general population sentiment front. So again, don't want to get too far ahead of ourselves here, but everything is aligning nicely right now to create a nice runway for the company over multiple years to, I think, make some significant investments in our pipeline segment. So we're really excited about that, Spiro. You know, turning to the power generation, we kind of intentionally wanted to unpack that for the investors in the slide deck and really differentiate that opportunity set between what I'll call utility underpinned power demand growth and then behind-the-meter data center power demand growth. What we've been observing in the last three or four months is many utilities, especially up here in the Midwest, have directly captured some of the data center demand. And as a result of that, are initiating what I call utility-scale gas-fired power generation projects. We're very excited about that, obviously, because many of those utilities are customers of ours on pipelines already. So there seems to be really two emerging trends that we're seeing in our footprint. Both the data center trend, which we've talked about at length, and that's very robust and continues to be robust, and we're really just waiting on-site commercialization for all the pieces to fall into place to be able to FID some of those projects. And this emerging utility-scale power generation opportunity that's presenting itself sort of at the same time. So very excited about that.
Spiro Dounis: Great. That helpful color, David. Second question is pivoting here to the Utica. Sounds like that's going pretty well. I think you said exceeding expectations. So wondering if you could just dial that in a little bit more and maybe give us a little bit of color there around the outlook. And you also did mention the possibility for downstream opportunities. I just want to make sure I understand what that means. Are you looking to maybe get into processing at some point, or are we talking about downstream into the transmission side?
David Slater: Yeah. It's really my reference was to the transmission side, Spiro, as a potential downstream opportunity as these volumes ramp. I expect these producers will want to have a pathway out of the basin at some point, so that'll present opportunities for us with our transmission pathways out of the basin. And then in terms of where we see this part of our business going in 2025 and 2026, I'm highly confident, and again, I can't speak on behalf of public companies here, but highly confident that there's going to be growth and a focus on these resources and continuing to develop these resources. So we're hand in hand with our anchor customer here, working to line out those expansion plans and make sure that the infrastructure is there for them as they continue to develop their resource base.
Spiro Dounis: Great. Helpful as always. I'll leave it there. Thanks, gentlemen.
Operator: Your next question comes from John Mackay with Goldman Sachs. Please go ahead.
John Mackay: Hey. Good morning. Thanks for the time. I wanted to move to the Haynesville. You guys have talked in the past about your ability to take market share down there. I guess I'd just be curious, you know, where you guys stand now in terms of where you think DT Midstream, Inc. can grow versus the broader basin on both gathering and then also on further LEAP expansions?
David Slater: Yeah. Good morning, John. Great question. Nothing has really changed in that regard. We're highly confident in our ability to continue to grow that network like we have over the last three years. You know, there's lots of infrastructure discussions being had in the public domain right now around the Haynesville and the Gulf Coast markets, which as I look at that, you know, the demand is showing up, and the market is recognizing that the demand is showing up, and there's lots of infrastructure projects being discussed publicly to connect incremental supply to that new demand that's showing up. So the confidence level and the demand arriving is high right now. So, you know, I expect that we will continue to win our fair share of the market share as this continues to develop over the back half of the decade, just like we have over the past three years. I'm really proud of the fact that our system is the most highly interconnected system, period, out of the basin in terms of supply connectivity and market connectivity. And I believe that's appreciated by all the market players, and that's why we've been able to keep peeling off expansions kind of consistently over the last three years. Now we're obviously working on the next one, and once we contract out, we'll start working on the one after that. And we've got a nice runway of capability with that asset set. And again, we can continue to expand in nice bite-sized pieces that comfortably fit into what the market wants, and I think that's just one of the competitive advantages in addition to the connectivity feature that we have across the footprint. So that'll be the plan to keep chipping away at it going forward and just keep winning our fair share of the growing market demand.
John Mackay: I appreciate that. Thank you. And maybe just staying down there in Louisiana. Might just give us an update on CCS. I think we're seeing the timeline push a little bit. I know there's a lot going on in the broader regulatory side, so maybe just an update there.
David Slater: Yeah. So I'll start with the positive is that the application requirements were finalized by the state of Louisiana. So that was slowing everything down last year. So that's kind of done, and we're over that step. So now the application's complete. It's really sitting with the state, and we're in the waiting period now for the final class six permit. As soon as we have that in hand, then you should expect that we will FID the project and at that point begin to spend, you know, what I'll call material amounts of capital to construct the project. We're obviously talking to the state pretty much weekly now, trying to get a sense of timing from them. And I'm not gonna predict their timing anymore because I've been predicting it for the last twelve months. They always underwhelmed in terms of what they say versus what they do. I'm just being transparent with you because I know everyone's wondering about this. So we're applying steady patient pressure to the state to move things along. The application's complete. We have a lot of local support for our project. All the critical pieces are in place and ready to go. It's just the permit at this point.
John Mackay: Okay. Alright. That's clear. Thank you, David. Appreciate it.
Operator: Your next question comes from Keith Stanley with Wolfe Research. Please go ahead.
Keith Stanley: Hi. Good morning. Just one clarifying question for the lateral project on Midwestern and for growth projects generally on the new interstate pipeline assets. Do you expect recovery to come from FERC rate cases, or can some of these projects be done with bilateral contracts? And then related to that, just curious, your expected rate case cadence for those new assets.
David Slater: Yeah. Keith, good morning. Great question. So initially, there'll be new incremental contracts to support these investments, and then when that particular asset comes into the next rate case, you know, obviously, that capital and that rate base rolls into your next rate case and is part of the next rate case process. So that's how it'll play out for the FERC assets. At some point in the future, they all will go into some type of a rate case process, whether it be, you know, like a negotiated settlement or whether it be a full rate case process through the FERC. So that's how you should think about it in terms of the capital deployments. But, again, in all cases, we have certain return expectations. The rate case process, when that does play out, is part of the economic assessment when we determine whether we're gonna make that investment upfront or not. So that's all folded into what I'll call the hurdle rates and the return expectations on the project when we initiate an FID the project upfront.
Keith Stanley: Great. And any timing you're expecting just for rate case cadence or frequency for these assets?
David Slater: Yeah. All three of those assets are on a different rate case cadence, and I don't have that handy in front of me, and I don't want to guess at it for you. So I'm gonna ask you to follow up with Todd offline, and we can get you those details. But I don't want to quote it and have it quoted wrong here.
Keith Stanley: Great. Appreciate it.
David Slater: You're welcome.
Operator: Your next question comes from Zach Van Eren. Please go ahead.
Zach Van Eren: Hey, guys. Thanks for taking my question. Just one on Midwestern's lateral. It looks like you guys were able to get this in service relatively quickly due to the FERC blanket authorization. Do you have that authorization on any other assets, or is it just this pipeline?
David Slater: No. Every one of the FERC assets has a blanket authorization capability.
Zach Van Eren: Okay. So when we think about because generally on the FERC side, you know, a lot of people know one to two years in permitting and one-ish year to build depending on size. Will your projects relatively be a little bit faster than that due to the authorization?
David Slater: Yeah. If we can get projects in under the blanket, those projects can go a lot swifter than going through the full process with the FERC, as you just highlighted. So, yeah, this one was, you know, like, literally a nine-hour off the mainline. So it was, you know, it's a very short, easy build over to this facility, which allowed it to go super quick, like, literally right after we closed the transaction. This opportunity presented itself, and yeah. So we're super excited about this. Right? You know, right out of the chute, we've got our first hour deal on these new assets. And as I alluded to, there are more to come that we're working on behind this.
Zach Van Eren: Awesome. Perfect. Well, thank you, guys, and that's all I had.
David Slater: Good. Great.
Operator: Your next question comes from Robert Mosca with Mizuho Securities. Please go ahead.
Robert Mosca: Hi. Good morning, everyone. So on the HES lateral projects, I understand that hasn't been FID-ed yet, but is there potential for DT Midstream, Inc. to be a part of a CCS solution there? Has that come up at all in conversations?
David Slater: Good morning, Rob. You know, we've been having CCS conversations with a handful of power developers in the Appalachian, what I'll call the broader Appalachian region. So it's very much in the forefront of their minds right now. That being said, with the new administration and with what we believe is a relaxing of the rules around new gas-fired generation, it may not be a requirement, perhaps as some thought a year ago. So my sense right now is that the developers are pivoting more towards what I would call a conventional combined cycle footprint but have the optionality in those facilities to either over time introduce a hydrogen blend or build the facility in a way that over time, if they needed to, they could capture carbon off the back end of the plant for sequestration, again, over time. So a lot of the developers are looking at trying to engineer in the optionality to decarbonize a facility over time, which I think is a smart approach, just given how the sentiment in the market and then the nation can swing back and forth on this particular topic.
Robert Mosca: Got it. No. That's helpful. And then maybe turning to the Haynesville, I think your main producer there has noted that they want to be flexible in terms of their production plans. How does that look in terms of conversations you have month to month or quarter to quarter? I'm just should we think about it differently than this is the plan that you have kind of exiting 2024 and just how dynamic that could be over the course of 2025.
David Slater: Sure. Well, again, I just have to be careful here because, as you know, our largest customer is a public company. So what I'll say generically and maybe I repeat what I said earlier, is that we expect volumes across our network, so the gathered volume directly from our producer customers, which we have many, will grow over the course of the year. And we've actually seen them grow significantly since the exit rate in 2024. So some of that growth has already occurred, which is positive. Right? It's what I would have expected given how the market is shaping up right now. So we'll see as the year progresses and as producers get progressively more confident with pricing and get more confident with the demand that's showing up. Again, a lot of producers, and I think they've said this publicly, they want to see the demand. They want to see it, feel it, and experience it before they start to deploy capital to growing some of their production. So, you know, I really think we're in a little bit of a wait-and-see mode. Having said that, you know, natural gas prices today are probably something for seventy-five cents higher than they were three months ago, which is a pretty significant upward move, which certainly is supportive for their businesses. So we're just being patient. We see growth. We have growth in our plan, and we'll see how that evolves as the year unfolds.
Robert Mosca: Got it. Thanks, David. And appreciate the time, everyone.
Operator: You're welcome. There are no more questions. I will now turn the conference back over to David for closing remarks.
David Slater: Well, thank you again for joining us. We certainly appreciate the support that you've shown to the company and look forward to delivering another strong year. Thanks, everybody, and have a great day.
Operator: Ladies and gentlemen, that concludes today's call. Thank you all for joining. You may now disconnect.